Operator: Good afternoon everyone and thank you for participating in today’s conference call to discuss Iteris’ financial results for its fiscal third quarter ended December 31, 2011. Joining us today are Iteris’ President and CEO, Mr. Abbas Mohaddes, and the company’s CFO, Mr. Jim Miele. [Operator Instructions].
 And then before the conclusion of today’s call, I’ll provide the necessary precautions regarding forward-looking statements made by management during this call. I would also like to remind everyone that a webcast of today’s call will be available via the Investors Section of the company’s website at iteris.com until February 16, 2012.
 Now, I’d like to turn the call over to Mr. Mohaddes, please go ahead sir. 
Abbas Mohaddes: Thank you Kelly and good afternoon everyone. As you saw, at the close of the market today, we issued a press release announcing financial results for our fiscal third quarter of 2012. Our strong double digit sales growth reflects the continued execution of our strategic plan to grow Iteris in our core market of traffic management. The 53% improvement in transportation systems revenue over the same year ago quarter was a record and is attributed to the acquisition of MET and BTS in addition to a strong organic growth within this segment.
 Performance measurement is a major growth segment for Iteris and our acquisition of BTS provides us a superior performance measurement system which quickly moves us into the market with an established customer base. We are already integrating the performance measurement system called PeMS with our in-house iPerform and plan to aggressively market this enhanced product to our broader customer base in the coming quarters.
 I’m also pleased with our Roadway Sensors bookings $7.1 million reflects 5% year-over-year growth while backlog reached $3.2 million, the highest level in recent years. It has been just over one quarter since the announced closing of our vehicle sensors divestiture and embarked on our strategy of focus and solely on the traffic management market. Two consecutive quarters of double digit sequential revenue growth confirms that our strategy is right on track.
 But before I comment further, I would like to turn the call over to our CFO, Jim Miele, who will take us through the details of our financial results for the quarter. 
James Miele: Thank you Abbas and good afternoon everyone again and thanks for joining us. For the third quarter ended December 31, 2011, our net sales and contract revenues increased 24% to $14.9 million. As Abbas stated the increase was primarily attributed to a 53% increase in transportation systems contract revenues. Please keep in mind that the current quarter included approximately $1.7 million in revenue from the Meridian subsidiary acquired in January 2011. And the Berkley subsidiary acquired in November 2011.
 Organically, Iteris grew net sales and contract revenues by 10%. As there are different characteristics affecting each of our revenue streams and different attributes affecting our financial results Abbas will provide more details, regarding our net sales and contract revenues later in his comments.
 Gross margins in the third quarter, was 36.7% or $5.5 million compared to 40.9% or $4.9 million in the year ago quarter. Gross margin in the current quarter was impacted by a shift in mix toward transportation systems consulting contracts as well as a higher degree subcontractor work for those contracts. Gross margin on product sales decreased for the quarter to 50.5% compared to 52.1% in the year ago quarter, primarily due to product mix.
 Operating expenses decreased 60% to $5.1 million and that was primarily attributed to the absence of a goodwill impairment charge which totaled $8 million in the year ago quarter. Excluding goodwill impairment charges, operating expenses increased by 6% mainly due to additional Roadway Sensors, Sales & Marketing and R&D costs, the inclusion of operating expenses from Meridian and Berkley and the development of our iPerform performance management software.
 GAAP net income was $747,000 or $0.02 per diluted share versus a loss of $7 million or $0.20 per diluted share in the same year ago quarter. The year ago quarter again included an $8 million goodwill impairment charge previously discussed.
 We ended the quarter with $21.5 million in cash compared to $22.8 million at September 30, 2011. And we repurchased approximately 202,000 shares of stock, bringing the total to 343,000 shares repurchased under the program, since it was initiated in the previous quarter.
 Again, we’ve not yet drawn on our $12 million line of credit with our senior lender and we reduced our long-term debt by approximately another $1 million to $1.1 million outstanding as of December 31. This concludes my prepared remarks on the financials.
 And now I’d like to turn the call back over to Abbas, who will discuss the quarter and the year as well as our strategy in greater detail. Abbas? 
Abbas Mohaddes: Thanks Jim. It has been just over one quarter since we announced the divestiture of our vehicle sensors business. As we reported to you, when the transaction was announced this divestiture united our team and gave us the financial resources to develop our core market of traffic management.
 We have identified three major initiatives within this core market that is executed properly would accelerate the growth of Iteris. We believe these initiatives are in growing segments of our market and collectively support our goal of becoming the leader in traffic management information technology.
 As a reminder, the three initiatives are, first, international expansion, second, growing the performance measurement and management niche and third, capturing the large market within 511 Traveler Information System. We have begun to support these initiatives by introducing innovative products and making accretive acquisitions that bring valuable IP to our platform. I’m encouraged by our second straight quarter of double digit sales growth as proof that we’re on the right track.
 It also highlights the strength of our core market. Although there are -- while traffic market is still hampered by some degree of self spending from Federal, State and local levels, we find that our clients are hungry for reliable and accurate technology related specifically to the application of technology in transportation.
 I would like to spend a few minutes reviewing the specific progress we have made relative to these three initiatives.
 First, international expansion, our Sutech distribution contract, which was signed in the previous quarter strengthened our video detection presence in key Latin America markets, with several of our newer products such as Pico and Abacus, being well suited for international markets, we’re actively engaged in discussions with numerous prospective, channel partners in various parts of the world. We believe our combination of products that are very suited to international detection requirements, in addition to our focus on increasing breadth in our distribution channel will lead to a stronger sales momentum going forward.
 Second, our performance measurement and management niche. The launch of our iPerform solution during the quarter created real-time, actionable traffic information that empowers agencies to improve their transportation network performance. We expect to have our iPerform software available within a few months as we complete the Berkeley PeMS and Iteris iPerform integration, as well as our pilot deployment projects.
 The development of iPerform also created an excellent platform to take market share in this segment and made way for acquisition of BTS. The acquisition of BTS has given our company instant credibility within the performance measurement niche. They are the pioneer and leader in performance measurement systems and their capabilities are the perfect complement to our iPerform software as well as our performance measurement and management initiative as a whole. I believe this acquisition provides key technology and a strong base from which to grow this area of our business.
 With the increased emphasis on accountability and transportation infrastructure expenditures, the US DOT as well as the State DOTs, are expected to use performance measures as a funding date for agencies. With the expected legislature and requiring real-time in State traffic programs by 2013 and metro area routes by 2016. We believe iPerform offers a powerful solution to improve an agency’s oversight and transportation network capabilities.
 And third capturing, a large market within 511 Travel Information Systems. We are approaching our one year anniversary of acquiring Meridian and continue to be very pleased with both its successful integration in our operations and its financial performance.
 The localized and customized weather forecasting is an important feat to overlay on Roadway Network and predictive traffic patterns in the iPerform software system. As we integrate Meridian into Iteris, we expect to lead the travel information market in North America. We have already received and announced a major award in Virginia and expect several more as we are pursuing similar programs in other states. We are now providing travel information services to nine State agencies as well as two regional metros.
 We believe to be better positioned to capture a large market within travel information systems because of our acquisition of Meridian as well as various related R&D investments. As a unified force in the marketplace, we are marketing several new projects and developing and enhancing software for the industry.
 We also committed to growing the weather information and decision support system offerings of Meridian and expect continued demand in the integration of whether information, decision support and traffic management.
 Now I would like to further elaborate on the third quarter’s results. Roadway Sensors net sales increased slightly over the same quarter last year. We experienced several international customer orders in the prior year which did not recur in the current year. Furthermore a delay in end user delivery requirements for one of the larger contracts awarded constrained this segment’s growth for the quarter.
 However, at $7.1 million Q3 bookings, were stronger than the same quarter last year, also similar to Q1 and Q2, Roadway Sensors backlog at the end of the quarter was as strong as 3.2 million, which is one of the highest ending backlog levels for this segment in last several years. The strength of our bookings this quarter, the trend over the last few quarters, and our expanding backlog reinforces my optimism about our prospects for future growth.
 The new product offerings in this segment have been very well received by our markets, and we expect for those products to serve us well, as the market recovery gains momentum.
 As we mentioned to you in the last call, Vantage Vector, our hybrid vehicle detection system has been introduced to the market and we expect to have our first shipment this quarter. Vantage Vector is the latest edition to our portfolio of Vantage Vehicle Detection Solutions and enhances the proven benefits of our video detection with radar sensor technology that extends the range and richness of detection data.
 In transportation systems, sales increased 53% over the prior year quarter, which in part was due to several significant project wins and the inclusion of revenues from our Meridian subsidiary which was acquired in January 2011 as well as BTS acquired in November 2011. Sequentially, revenues in this segment have grown five straight quarters and at $8.3 million in revenues, this is a record revenue quarter.
 We are certainly encouraged by the continued sequential growth in this segment and believe our investments are paying off. Over the last few quarters, we added several senior associates possessing business development experience as well as technical expertise. We are also seeing an expanded number of requests for proposals, particularly the regional agencies in many of the markets we serve.
 Now, moving on to the Federal Highway Bill, we remain optimistic, it will be passed over the upcoming months. The quire expenditure level was extended until the end of this March. We believe a multi-year highway bill has solid by partisan support on Capitol Hill. In fact, this week, both the house and senate prepared and announced the draft bills. We understand it will be for a five and a two year bill respectively.
 We also believed that the liberation at Congress will begin shortly. In addition, we expect bills funding attributed to the application of technology and transportation and traffic management will be significantly higher than previous bills. And this would ultimately benefit Iteris.
 Also, there are, variety of other transportation really that funds flowing into our market, including infrastructure funds, transit funds, state and local agency bonds, tax hikes focused on transit and transportation infrastructure improvements. As this funding increases, we believe the proactive steps we are taking today, will strategically position us, with best in class technologies for the future.
 As we look towards the last quarter of our fiscal year and plan for fiscal 2013, we anticipate to further enhance our intellectual property through opportunities much like our successful acquisition of Meridian and BTS and pursue additional synergistic acquisitions. We also intend to continue our investment in R&D, and Sales & Marketing, which we expect will help accelerate our organic growth. We feel it strongly, about the growth prospects available within our marketplace and look forward to continued execution in our fourth fiscal quarter and on into fiscal 2013.
 Now, with that, we will be delighted to respond to your questions and comments. Operator? 
Operator: [Operator Instructions]. Our first question comes from the line of Chris Armbruster with B. Riley & Company. 
Chris Armbruster: The systems revenue in particular I think was a little bit better than what we expected. Can you kind of talk a little bit to what’s driving that, our performance there? 
Abbas Mohaddes: Yes, and thank you sir, for your question. What we have experienced in recent quarters ever since we acquired Meridian earlier in the year, are key initiatives Traveler Information 511 was really got shot in arm, in that-- since then, we have been receiving on proposals that we jointly have been pursuing more than two awards. And a major one that we announced about a quarter ago was the Virginia DOT at about $10 million. And about a third of that, the expenditure was focused in two quarters, the quarter that we just finished and the quarter that we are in. And that helped us to also expand the sub-consultant content of that particular contract.
 In addition to that, we have been successful in a handful of other regional projects. The other investment that we did a few quarters ago, hiring a handful of senior sales and marketing and technical experts, has also helped us to boost our revenue. We’re quite pleased about the results and the expansion of our revenue in transportation systems in the quarter we finished. 
Chris Armbruster: Okay. It also looks like margins have been contracting a little bit in the systems business. Is there something specific that’s driving that and do you expect that trend to continue? 
Abbas Mohaddes: The specific impact was by the expanded content in the sub-consulting magnitude. So, every time you have a higher content of that, the overall margin erodes a little bit. That worries Mr. Armbruster, from one quarter to another, some quarters, it may increase, some quarters, it may decrease a little bit. I don’t see that as a roadblock to events going forward. 
Chris Armbruster: Okay, good. What do you expect to be the largest couple of drivers for 2012 as you look at your top line? 
Abbas Mohaddes: You mean, going forward our fiscal year 2013 perhaps, right, the next year? 
Chris Armbruster: Yes. 
Abbas Mohaddes: Yes. I think all three initiatives are going to contribute, at the moment preparing our plan as it commences April 1st our fiscal year begins. And we are finalizing that plan. We expect all three major initiatives to contribute to our accelerated growth. And we are quite pleased about that. And the kinds of investments that we have been doing organically through sales and marketing R&D and of course acquisition. In support of those initiatives, are really paying off and we’re gradually seeing the fruits of that. And I would expect that to continue and to be the catalyst for all accelerated growth in the upcoming year. 
Chris Armbruster: Okay. And then, moving over to the sensors business, we know that there is a kind of a seasonal phenomenon where fewer installations are generally done during colder weather. Has there been any positive impact on that business this year or this quarter due to the unseasonably warm winter we’re having? 
Abbas Mohaddes: You’re absolutely, correct. It is seasonal, and typically it slows down a little bit in this last quarter. We had a slight increase year-over-year. The good thing that happened in this quarter was that we reached in the recent years that I remember the highest end of the quarter backlog that exceeded the $3 million, I believe it was closer to $3.2 million. So, we did see overall more orders coming in. Although some of them shifted to the quarter that we are in.
 But overall we are very pleased with the market. Much of the R&D investments that we have done in the last couple of years has, been very helpful for us. In fact, this quarter that we finished, 23% of our total sales was really based on the products that we introduced to the market the last couple of years.
 So, that is really helping us to grow internationally. We are investing at the moment in Sales & Marketing and again introducing products. And we anticipate the growth of that in the upcoming quarters. So, despite the fact that we went through our typical rough and a slow season, I’m pleased that we were able to put up the numbers the way we did. 
Chris Armbruster: Okay. And just one more, can you talk a little bit about what you’re seeing in terms of potential acquisitions. Has there been anything that’s caught your eye recently that has a reasonable probability of happening? 
Abbas Mohaddes: Excellent question. Over the last couple of years, we have looked at the -- perhaps no less than 20-25 firms. And we have executed two so far. So, we are very careful about that. And yes, we have had conversation with no less than maybe a handful of firms. We got two or three different firms that are assisting us with this activity. So, it’s definitely one of our, key focus. And as we get closer and they are, announce able, also it can be in a position to do that. 
Operator: Our next question comes from the line of Nick Halen with Sidoti & Company. 
Nick Halen: So, I just had a quick follow-up question for you. I was wondering if you can give us a little bit of an update on the international side of the business, how exactly that’s progressing right now. And also, just in terms of the iPerform, is that something that you’re going to be marketing and do you see a possibility for that to catch on globally? 
Abbas Mohaddes: Sure, I’ll respond to the first one-- question first. The international market, what we have done in the recent quarters is to focus in South America and Middle East this is where we see a tremendous opportunity for us. Two or three of our key products are well received there.
 So, what we have done is executed some partnership. I indicated in my earlier remarks, which Sutech in South America, we also announced during this third quarter, expanded relationship with a distributor in United Arab Emirates, namely TrafQuest that we have done quite a bit of worked with in the consulting side of the house, but now they’ve became also our distributor. And we are talking to a handful of other in the way of expansion of distribution.
 In addition to that, we have been selling some of our equipment. We’re doing quite a bit of sales and marketing and positioning the company for expanded sales. Of course we have had other spot successes as an example. Recently, in Eastern Europe and Asia, we have sold some. So, we expect and anticipate that the growth in the international market, to help us and accelerate quite a bit, in our next coming handful of quarters.
 As far as iPerform, our focus initially is North America. It’s very important for us to really get settled. We have some pilot deployment that we’re working on, that we anticipate to be completed in the next few months. And then, we would begin our major road show and offering that too many customers that we have already had conversations. And of course, BTS has already had very well established clients group that sold their PeMS.
 So, after establishment in North America, we are doing some recognizance in globally, that would be our next move. And we would certainly be briefing the investment community as we get closer to that. 
Operator: [Operator Instructions]. And our next question comes from the line of Brett Reiss, Janney Montgomery Scott. 
Brett Reiss: Just one or two housekeeping questions. You said in the release that you purchased 202,000 shares. Do you know how much you paid so I can compute what your average cost was? 
James Miele: Yes, right, this is Jim Miele. The average purchase price is about $1.19 this year for those 200,000. 
Brett Reiss: Okay. How much do you have left on the buyback authorization? 
James Miele: About $2.6 million. We set aside $3 million Mr. Reiss to do this within a year. And so, we still have a chunk of that that the outstanding. 
Brett Reiss: Okay. And different line of questioning, in Forbes, February 13, there was a profile piece on Edward Yu, who is the head traffic engineer in Los Angeles and the automatic traffic surveillance and control system that they have. Are you guys involved with that in any way? 
Abbas Mohaddes: No, we are not, not in that particular system. But I’m aware of the article you are referencing Mr. Reiss. 
Operator: And there are no further questions in the queue. At this time, this concludes our question-and-answer session. I would now like to turn the call back over to Mr. Mohaddes for his closing remarks. 
Abbas Mohaddes: We appreciate everyone’s support and thoughtful questions. And we look forward to updating you again on our continued progress. Have a wonderful afternoon and evening. 
Operator: Before we conclude today’s call, I’d like to take a moment to read the company’s Safe Harbor Statement. I would like to remind all participants that during the course of this call, Iteris made forward-looking statements regarding future events or the future performance of the company. The forward-looking statements discussed during the call are based upon information currently available. This information will likely change over time by discussing the company’s current perceptions of the market and future performance of the company, its products, and services, Iteris is not undertaking an obligation to provide updates in the future.
 Actual results may differ substantially from what has discussed today. And no one should assume that at a later date the company’s comments from today will still be valid. Iteris refers you to the documents that the company files from time to time with the SEC. Specifically, the company’s most recent Form 10-K and 10-Q. These documents contain and identify important risk factors that could cause actual results to differ materially from those that are contained in any of the forward-looking statements.
 Finally, I’d like to remind everyone, that this call will be available for replay via telephone through February 16, 2012 starting approximately at 7:30 pm Eastern Time today. Please follow the instructions on today’s earnings release. An audio webcast of this call will also be available for replay via the Investor Relations Section of the Company’s website at iteris.com.
 This concludes today’s call. Thank you, ladies and gentlemen for joining us today for our presentation. You may now disconnect.